Operator: Good day, and welcome to the News Corp 3Q Fiscal 2022 Conference Call. Today's conference is being recorded. Media will be on a listen-only basis. At this time, I would like to turn the conference over to Mike Florin, Senior Vice President and Head of Investor Relations. Please go ahead.
Mike Florin : Thank you very much, operator. Hello, everyone, and welcome to News Corp's fiscal third quarter 2022 earnings call. We issued our earnings press release about 30 minutes ago, and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We will open with some prepared remarks, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release. With that, I'll pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. I'm delighted to report that revenues and profitability were at a new record for the third quarter, since the company's rebirth in 2013, building comprehensively on the momentum of our record performance in preceding quarters News Corp delivered $2.5 billion of revenues up 7%, despite the vicissitudes of currency volatility. While profitability improved by 20% and that was despite the one time transaction costs for our Opus acquisition. The tangible benefits to revenue and profitability of that transaction should be obvious in coming quarters. To put the results in a broader context, we attained more in profitability at over $1.3 billion through the first three quarters of fiscal 2022 than we did in any entire fiscal year, since our rebirth in 2013. And there is certainly more to come in the fourth quarter. Given the impact of the pandemic and not so transitional inflation, both exogenous in the extreme, these sterling results are testament to the strength of the company's culture created and curated by Rupert and Locklin Murdoch and the commitment, creativity, and passion of all our employees. We are investing as well as returning capital to shareholders and have focused that investment on bolstering our growth pillars. The results of that productive investment should be felt for years to come. Our core product suite has expanded as has our reach, and we expect that auspicious combination will [indiscernible] our long-term growth. Following a strong fiscal 2021 and first half of fiscal 2022 Dow Jones continued to power ahead with revenues and segment EBITDA both sharply rising. Though the latter was impacted by the one-time costs related to the Opus transaction. Segment EBITDA was up 7% even including the Opus costs, adjusted segment EBITDA actually rose 16%. Opus, along with Base Chemicals, which we expect will close by the end of next month, represent an exciting opportunity for Dow Jones, extending the depth and reach of our news and information capabilities in the commodities sector. The appetite for data, analysis and insight in the energy, renewables, chemicals and related fields is strong and growing. And we believe Dow Jones is ideally positioned to capitalize for many years to come. Not only did we acquire Opus at a rather favorable price, but the recent surge in global commodity prices highlights the profound importance of this sector for Dow Jones. The need for trusted and accurate information has never been more imperative. And we expect to capitalize on that opportunity. Opus has healthy subscriber growth with robust margins and extremely high retention rates. Given the lack of overlap between the customer basis of Dow Jones and Opus, we see very strong cross-sell and upsell potential using the vast WSJ, IBD and MarketWatch audiences as a premium pool for customer leads. Subscriber growth at Dow Jones remain robust with WSJ digital only subscribers crossing three million this quarter expanding at a robust 16% rate. Digital only subscriptions across all Dow Jones consumer sites increased by 19%, which also reflects the consolidation of IBD and early success in new bundled offerings. Digital advertising burgeon 21%, marking the seventh consecutive quarter of double digit percent growth. Notably, print advertising has actually expanded for four consecutive quarters in double digits. While the conflict in Ukraine had a short term impact on advertising, given that certain advertisers did not want juxtaposition with war coverage, overall trends remain favorable. The imposition of sanctions and expansion of watchlists, underscore the value of the Dow Jones Risk & Compliance business, which continued its unbroken streak of rapid growth in Q3, when it recorded the 27th straight quarter of double digit increases. And on Ukraine, we are deeply appreciative of the professionalism of our journalists and their support teams in covering the tragic conflict and bringing understanding to readers around the world.  Our Digital Real Estate services, both revenues and segment EBITDA continue to expand at a healthy rate. Revenues at REA grew a robust 30% following a surge in listing value and also benefited from the integration of mortgage choice, which obviously provides another means of monetizing our valuable leaves. In the U.S., the real estate market is in the midst of flux with historically low inventories and rising interest rates. Home prices generally have continued to rise. There is much variation depending on the location, while rents are increasing at a double digit rate. Affordability and supply, which are obviously related, remain issues for first time buyers who also face an escalation in mortgage rates though by historical standards, rates remain relatively low. The ebb and flow of market forces is not unusual. And we believe the opportunity for realtor.com and News Corp has never been greater as the digitization of the property market continues at pace. And current trends are likely to expedite that evolution. Our product innovation has accelerated. Our scale has increased. And we are in the early days of venturing into relevant adjacencies with large addressable markets. Despite the shifting market conditions, Move posted revenue growth in the third quarter and our aim to be the digital marketplace for consumers and the industries is clearly paying dividends. As our average monthly unique users exceeded 100 million in March. Over the past two years, third quarter revenues of the Digital Real Estate Services segment have increased by 59%, which gives a measure of both the growth and the opportunity. The past two years have been remarkable for book publishing with third quarter revenues rising 5% this year, which means that there has been a 25% increase since the third quarter of fiscal 2020. And this in an industry that some observers had presumed to be mature. We expect sales to continue at significantly higher levels than before the pandemic. Unsurprisingly, EBITDA after the segment was challenged, including by supply chain, cost increases for paper, printing and distribution. We expect these near term disruptions to abate over time. We also expect continuing success from both new releases and our bolstered backlist, which was enhanced by the acquisition of the Houghton Mifflin Harcourt Books & Media division. Successful releases included the bestselling memoir by former Attorney General, Bill Barr, One Damn Thing After Another, Red Handed by Peter Schweizer and The Paris Apartment by Lucy Foley. Given the public's abiding appetite for reading HarperCollins is certainly well positioned for future success. We're excited about Finding Me the new book by Viola Davis released late last month. And we anticipate a surge in interest in The Lord of the Rings franchise, for which we now have global English language rights. Given the launch of Amazon's landmark series later this calendar year. It is worth noting that according to Amazon, the teaser trailer for that series broke a global record for the most watched entertainment trailer to debut during the Super Bowl within 24 hours of the trailers release, it had 257 million views. News Media was the biggest contributor to News Corp’s growth in profitability in Q3, with segment EBITDA approximately 388% higher in the quarter. We saw continued strong performance in digital advertising across the segment alongside a notable rebound in print advertising at News UK. News Australia had a strong quarter with substantial improvement in profit contribution, thanks in part to our deals with the tech platforms, our continuing cost discipline and the development of our digital platforms. The New York Post Renaissance continues with its massive audience, strong advertising growth and improved profit contribution. The New York Post digital network now ranks among the top news sites in the U.S. and has grown nearly eight-fold since fiscal 2014, to over 172 million average monthly unique users in the third quarter. News UK also had a healthy profit contribution with significant revenue improvement of The Sun where digital advertising outpaced print. It is also notable that thesun.com, the brand extension of The Sun in the U.S. market increased page views in Q3 by over 260% year-over-year to 500 million with yields significantly improving. Piers Morgan's much anticipated program launched on April 25. And it more than exceeded expectations in reach across the UK, the U.S. and Australia, thanks to the power of our platforms, the pivotal partnership with Fox News and the quality of the programming. Not only does TalkTV plan to be a broad church of diverse views and lively discussion, it offers a new opportunity to leverage our strong brands, talented people, and premium video content in the UK and around the world. In Subscription Video Services, the third quarter saw continued progress in reshaping the Foxtel Group as a growth-oriented subscription business, with continued success in streaming, stable revenues and solid cash generation. Notably Kayo and BINGE, both surged in the quarter and are now reaching record numbers of subscribers, Kayo plans to implement a price increase as it benefits from its scale platform and high-quality production, which is driving record ratings at the start of the season for both the NRL and the AFL. Overall, total paying streaming subs reach nearly 2.6 million up 62%. We remain pleased with Foxtel's turnaround and have a great optimism about its near and long term future. We are continuing to explore all options for Foxtel to maximize its value while watching closely all relevant developments in the financial markets. Through the first three quarters of fiscal year 2022 News Corp is well on track for its most profitable year since separation. Clearly, besting last year's record results. Success is building on success. We will relentlessly continue to drive our performance in the quest for enhanced returns for our investors, complacency, smugness, and hubris are not words in our vocabulary. News Corp is a company transformed more intensely digital, more intelligently global with strong growth in our core markets and much unrealized potential. Macroeconomic challenges affect all businesses, whether that be the supply chain, corrosive inflation or febrile currency markets. But our resilience, adaptability and ingenuity were stress tested by the pandemic and led to record revenues and profits. We understandably are optimistic about the years ahead. For more granularity about our quarterly performance, I now hand you over to the at right [ph] Susan Panuccio.
Susan Panuccio: Thank you, Robert. Fiscal 2022 third quarter total revenues were approximately $2.5 billion, up 7% reflecting strong growth across our core pillars led by digital real estate services and Dow Jones, which includes benefits from our recent acquisitions and our continuing shift to digital across the company. Total segment EBITDA was $358 million higher than the prior year by 20%. And, as Robert mentioned, marked the highest third quarter total segment EBITDA on records since separation, reflecting our ongoing focus on costs. Those results came despite approximately $15 million of one-time cost related to the Opus transaction, which closed on February the 28 and a $16 million negative impact from currency headwinds. Excluding acquisitions, currency fluctuations, and other items disclosed in the release, adjusted revenues and adjusted total segment EBITDA rose 6% and 25% respectively. Reported EPS were $0.14 compared to $0.13 in the prior year. Adjusted earnings per share in the quarter was $0.16 compared to $0.09 in the prior year. Moving on to the results for the individual reporting segments, starting with Digital Real Estate Services. Segment revenues were $416 million an increase of 19% compared to the prior year. The results include the contribution from the acquisition of Mortgage Choice, as well as the negative impact from foreign currency fluctuations. On an adjusted basis segment revenues increase 14%. Segment EBITDA rose 17% to $137 million or up 18% on an adjusted basis. Like the second quarter, the driver of segment EBITDA improvement was REA while segment EBITDA contribution from news was flat compared to the prior year. News revenues were $170 million similar to last quarter and up 5% year-over-year, this followed 37% revenue growth in the prior year and is now approximately 44% higher than pre-pandemic levels in the third quarter of fiscal 2020. For the quarter real estate revenues grew 7% and accounted for 85% of total revenues.  Price optimization within the core Lead Gen business, home price appreciation and the resulting flow through to commissions within the referral model together with higher advertising help to offset limited inventory impacting both lead volumes and transaction volumes. Referral offerings accounted for approximately 28% of total revenues up three percentage points compared to the prior year and was the biggest driver of year-over-year revenue growth this quarter. Based on our internal metrics, Realtor’s, average monthly unique users were 95 million in Q3 reaching a 100 million in March, while unique users were down 3% year-over-year, they are still 40% above pre-pandemic levels in the third quarter of fiscal 2020. Like the second quarter revenue growth was partially offset by the divestiture of top producer in March, which negatively impacted revenues by approximately two percentage points. Lead volumes in the quarter were sequentially higher than the second quarter. However, they declined 22% compared to the prior year impacted by lower new listings and the recent rise in mortgage rates. The team remains focused on driving audience growth, scaling the core real estate business and investing in and growing adjacent businesses, while keeping a watchful eye on the macro environment. REA had another very strong quarter with revenues rising 30% year-on-year on a reported basis to $246 million, which includes a $38 million contribution from the Mortgage Choice acquisition. REA enjoyed another quarter of favorable trends, including an 11% increase in Australian residential new buy listings with Sydney up 14% and Melbourne up 8%, despite lapping tough comparisons. REA also benefit from higher yields, increased penetration, and favorable product mix. Financial services benefited from an increase in settlements, as well as the integration of Mortgage Choice. And the team continues to innovate with the launch of Premier Plus in March and enhanced offering that delivers additional marketing features to listings. Please refer to REA's earnings release and their conference call following this call for more details. Turning to the Subscription Video Services segment, revenues for the quarter were $494 million, relatively stable from the second quarter and down approximately 6% compared to the prior year on a reported basis due to foreign currency headwinds. On an adjusted basis, revenues rose 1%, a strong improvement from the second quarter rate of minus 3%. Streaming revenues, now account for 20% of circulation and subscription revenues saw notable acceleration in the growth rate from the second quarter. Total clients paid subscribers across the Foxtel Group reached $4.3 million at quarter end, up 23% year-over-year. Total subscribers, including trialists, were over 4.5 million. The year-over-year increase was driven by higher BINGE and Kayo subscribers, partially offset by the expected decline in residential broadcast subscribers. Commercial subscriptions rose modestly over the prior year helped by the easing of lockdown restrictions. Total streaming subscribers reached over 2.7 million with paying subscribers up 62% from the prior year and 421,000 sequentially to approximately 2.6 million. Streaming subscribers reached 59% of Foxtel's total paid subscriber base. Kayo benefited from the return of the winter sports codes [ph] and saw record early ratings with total subscribers over 1.2 million. 138,000 paid subscribers were added in the quarter, a notable acceleration from the second quarter, taking paid subscribers to over 1.1 million. Similar to Kayo, BINGE had a strong quarter increasing its total subscribers to over 1.3 million. Paying subscribers increased to over 1.2 million, up 135% from the prior year. BINGE added 284,000 paid subscribers in the quarter, the most quarterly additions since the launch of the service in 2020. BINGE's growth continued to be driven by the depth and diversity of its content library and the popularity of new shows such as Love Me, a Binge original, Euphoria, and the Walking Dead. Foxtel ended the quarter with over 1.5 million residential broadcast subscribers, down approximately 11% with the rate of decline stable versus the second quarter. Commercial subscribers ended the quarter 240,000 and improvement both sequentially and year-over-year. Retaining high value customers remains the focus for broadcast subscribers, which has led to churn improvements with churn reducing almost six percentage points year-over-year in the quarter to 14.3%, which reflects eight consecutive months of year-over-year churn reduction. Broadcast ARPU rose by 2% to AUD82. Segment EBITDA in the quarter of $79 million was down 13% versus the prior year, driven by higher programming costs, partly due to increased availability of entertainment content as well as modestly high marketing investment in streaming.  Cost control remains a key focus at Foxtel, and we continue to expect full year cost to be flat versus the prior year in local currency, which is helping to underpin strong cash generation. The fourth quarter segment EBITDA will face more favorable prior year comparisons. Moving on to Dow Jones. Dow Jones continued its strong performance in the quarter with revenues of $487 million, up 16% compared to the prior year with digital revenues accounting for 76% of total revenues this quarter, up two percentage points from last year.  Results for the quarter include IBD and one month of the recently acquired Opus. Circulation and subscription revenues increased 15%, including 16% circulation revenue growth, primarily reflecting the acquisition of IBD and continued strong volume gains in digital-only subscriptions. Digital-only net ads at Dow Jones were 167,000 subscribers, including 118,000 at the Wall Street Journal, the highest quarterly additions this fiscal year. Professional information business revenues rose 13% and accounted for 29% of revenues.  Revenue growth from Risk & Compliance increased 12%, despite a 3% negative foreign exchange impact driven by the higher entry rate at the beginning of the year and strong growth across the Americas, Europe and Asia. Opus accounted for approximately $10 million of revenues in the quarter. As a reminder, the business did $129 million of revenues in its last full year with very strong margins and with revenues almost all recurring and digital. Advertising revenues, which accounted for 21% of revenues this quarter, remained very strong, growing 20% to a $102 million, despite difficult prior year comparisons. Digital advertising revenues rose 21% in the quarter on top of 30% growth in the third quarter of the prior year and accounted for 62% of total advertising revenues. We continue to see strong yield improvement led by direct display and saw particular strength in the finance and technology categories. Print advertising continued to surprise on the upside with 18% growth year-over-year, partly due to easy prior year compares, but also due to strength in the technology category. Dow Jones segment EBITDA for the quarter rose 7% to $88 million following growth of 61% in the third quarter of the prior year. As mentioned earlier, included in the quarter is approximately $15 million of one time transaction costs related to the Opus acquisition. Excluding the contribution from IBD and Opus currency fluctuations and other items disclosed in the release adjusted revenues and adjusted segment EBITDA for the quarter rose 9% and 16% respectively. Over the last few weeks, we have received questions from investors about our exposure to the war in Ukraine. Across the company, our exposure to the region is at Dow Jones, the region accounts for a de minimis amount of Dow Jones' gross revenues, almost entirely in [indiscernible]. And so far, the impact from close accounts and/or canceled contract is immaterial. We are also beginning to see opportunities in risk and compliance emerge due to increased sanctions and regulatory requirements. At Book Publishing, HarperCollins posted 5% revenue growth to $515 million and segment EBITDA fell 16% to $67 million. However, consumption levels continue to remain materially above pre-pandemic levels. Current quarter results were impacted by the ongoing global supply chain and inflation new pressures on freight and manufacturing cost as well as very difficult comparisons with the prior year, which benefited from a higher back list performance driven by The Bridgerton Series by Julia Quinn. The Bridgerton Series still performed well this quarter, but revenue contribution was down approximately $14 million versus the prior year. As flagged during our last earnings call, we saw an increase in manufacturing costs, partly due to supply chain issues, including higher inbound international freight and fuel prices. Digital sales declined 6% this quarter and accounted for 23% of consumer sales, which was almost entirely explained by the lower Bridgerton sales, which did particularly well in the ebook format last year, and also contributed to the strong margin performance in the prior year. HMH continued to perform according to plan. For the quarter, HMH contributed $35 million in revenues and $3 million in segment EBITDA and remains on track to deliver $20 million in annualized cost synergies. Turning to News Media, the momentum in this segment continued during the quarter revenues were $580 million up 5% versus the prior year, which included $25 million or approximately five percentage points of negative impact due to currency headwinds. The underlying growth rate in local currency was similar to the second quarter. We again saw improvement in advertising as well as strong growth in circulation and subscription revenues, benefited by the contribution from our recent content licensing revenues. Within the segment revenues at NewsCorp Australia and News UK increased 2% and 4% respectively. Wireless Group and the New York Post also continue to show strong top line growth. Adjusted revenues for the segment increased 10% compared to the prior year. Circulation and subscription revenues rose 5% benefiting from strong digital subscriber growth, incremental revenues from the platform agreements and cover price increases. Currency headwinds, negatively impacted circulation and subscription revenues by $12 million or four percentage points. Advertising revenues increase 9% compared to the prior year with strength in digital across all our key markets. Most notably at The Sun, which more than double digital advertising revenues versus the prior year. Currency negatively impacted advertising revenues by $10 million or five percentage points. Segment EBITDA of $39 million increased $31 million compared to the prior year, reflecting the higher revenues. Margins improved to almost 7% from 1% last year. Results were partially impacted by hiring investment related to TalkTV and marketing support for new digital product offerings at NewsCorp Australia. I would now like to talk about some themes for the upcoming quarter. We remain encouraged with our strong year-to-date results and that we have already delivered record profitability since separation for the company at the end of Q3. But we are clearly mindful of the lack of visibility from the ongoing impacts of the pandemic, the broader macroeconomic impacts from the war in Ukraine and the cost impacts from continued supply chain and inflationary pressures, particularly in book publishing and our [indiscernible], together with wage inflation and talent retention across the company. We expect these challenges to continue in the short term. At Digital Real Estate Services, Australian residential new buy listings for April declined, 8% impacted by the timing of the Easter and ANZAC Day holidays. REA anticipates growth rates to slow as it cycles strong prior period listing volumes, which grew 54% in the fourth quarter of last year had potential impacts around the upcoming federal election in May. Please refer to REA for more specific outlook commentary. At Move, despite tougher comparisons and the macro environment, we continue to see strong yields. We expect to continue to reinvest in Move, as we drive the core business and expand into relevant adjacencies, particularly in new homes and rentals. Similar to last year, we expect investments in the second half. In Subscription Video Services, we remain pleased with the performance of the streaming products and the ongoing focus on broadcast ARPU and churn. As mentioned earlier, we expect full year costs in local currency to be relatively flat versus the prior year. And we expect improvement in profitability in the fourth quarter against the prior year. At Dow Jones, overall revenue trends across the business remains strong. We do expect the rate of advertising growth to be impacted next quarter, by a more difficult prior year comparison, which saw advertising grow by 45%. Excluding the impact from acquisitions, we expect the rate of cost growth to be higher than the third quarter as we continue to invest to drive consumer subscriptions and enhance our Professional Information Business offerings. And as Robert mentioned, we expect to close the Base Chemicals acquisition in June. In Book Publishing, we expect another quarter of strong front list releases and supply chain and inflationary pressures to persist. At News Media, overall advertising trends remain favorable, albeit recognizing that visibility is limited. We continue to expect incremental annual revenues from the recent platform agreements with the majority of that allocated to News Media. We expect incremental costs of at least $20 million in relation to product investments across the businesses, including TalkTV in the fourth quarter. On the Other segment, we expect costs in the second half to be slightly higher than the first half due to the phasing of costs, but lower than the prior year. Finally, note that this fiscal year is on a 53-week basis and will include an extra week of financial results. I would also like to note that similar to the third quarter, we do expect foreign exchange headwinds to continue, given the current spot rates for the Australian dollar and pound Sterling compared to the prior year. With that, let me hand it over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] We'll take our first question from Entcho Raykovski with Credit Suisse. Please go ahead.
Entcho Raykovski: Hi Robert. Hi, Susan. Entcho Raykovski here. If I can just sneak in two questions please. I mean the first one is on Move. I appreciate the comments Susan you've just made around fourth quarter. I'm conscious that the comps are particularly difficult with, I think, it was 68% revenue growth in the PCP. Can you talk about what yield benefit you might expect to see in that fourth quarter? And could you conceivably see revenue growth within Move, given that tough comp? That's the first question. And secondly, I have a question on the pace of the buyback by my calculus you've done, I think, $158 million so far versus an authorization of $1 billion. Do you think there is scope to accelerate that particularly if you think there is value on offer in the current share price? And could we see that in the coming months? Thank you.
Robert Thomson: Thank you. Entcho, I'll take the first question about movement, Susan will address the buyback. Look, we're not going to give you a forecast for the quarter, but obviously enough, even though leads have been in decline in Q3, if there are fewer houses for sale, there'll be fewer leads. The beauty of the referral model is that we're focused on the quality, not the quantity. We can have fewer leads, but make more from each of those leads by offering realtors more purposeful purchases So quantity of course matters, but so does quality. And that is the beauty of the model that we've been building in recent years. Our quarterly real estate revenues rose even in this difficult market by 7%. And as you say, that followed 43% growth in the same quarter last year. And by the way, leads are still 11% higher than 2020. And existing home sales in calendar 2021 were 15% higher than 2019. Another thing to watch in coming months and quarters, the change in the mortgage market with origination being more important than refinancing, which had dominated over the past few years, the mortgage companies were more focused on serving preexisting, preapproved customers with refinancing and rapid decline. Our new leads will be relatively more valuable and we will surely extract that value.
Susan Panuccio: And Entcho, so just in relation to the buyback, your numbers were accurate. That is what we have brought back to date. And you will notice from that that we have been buying back at a relatively steady rate since we announced the buyback like last calendar year. We haven't given a timeframe in relation to the execution of that buyback. But as always, we will continue to look at the reinvestment opportunities, versus the shareholder returns and monitoring the share price.
Mike Florin: Thank you, Entcho. Keith, we'll take our next question please.
Operator: Our next question is from Kane Hannan with Goldman Sachs, please go ahead.
Kane Hannan: Hey guys just two quick ones as well, just Kayo and that price increase you mentioned, is there any more color you can give us around, I suppose, timing and quantum of that? I suppose, is that what is going to drive the improved profitability in the fourth quarter? And then just News Media, given the inflationary pressures and that $20 million investment you called out, is it right to assume a step down in margin for that segment in the fourth quarter.
Susan Panuccio: Okay Kane I'll take those. So just in relation to Kayo, the price increase will hit. I think it's towards the end of May. So we'll actually see pretty limited impact of that in Q4. So it's 250 and it'll hit on the 9 of May. But we will obviously see the benefit of that as we go through into next financial year. In relation to News Media, what I would say about that is we obviously have seen really strong growth within that segment over the course of the year. And we are taking a balanced approach to reinvestment. So we are expecting to see profitability improve in Q4, obviously subject to revenue trends, and foreign currency and how that trades. And we will make sure that the revenue upside will help some of the cost investments that we're going to have within that business. And we will continue to focus on margins within that segment.
Mike Florin: Thank you, Kane. Keith, we'll take our next question, please.
Operator: We'll take our next question from David Karnowski with JPMorgan. Please go ahead.
John Gaudioso: Hi guys. This is John Gaudioso on for David. Just one quick one for me. It's only been two months, but I thought I would just ask you about any early learnings as you integrate the Opus acquisition. And I realize you have a significant amount of expertise in Spector, particularly with Dow Jones, but any warning that might also affect base chemicals when it closes next month and its potential future integration thereafter.
Robert Thomson: Yes, we're very pleased with the first phase of integration as you say said, it is early. But clearly enough international events have only highlighted the economic, commercial and political importance of energy policy and prices and the shift to renewables. Both Opus and Base Chemicals are essentially a hundred percent digital recurring subscription revenues and rather high EBITDA margins. But these are premium products at premium prices. And we have a very large base of potential, professional customers through our Barron's, WSJ, IBD and MarketWatch audiences. That vast base will create an ongoing funnel of possible premium subscribers for Opus. You'll certainly see the positive impacts in coming quarters. And it is obvious that this is a pivotal moment for Dow Jones.
Mike Florin: Thank you, John. Keith, we'll take our next question please.
Operator: We'll take our next question from Darren Leung with Macquarie. Please go ahead.
Darren Leung: Hi guys. Thanks for your time. Just one from me. Looking at the professional information business in the Dow Jones segment, where we look at risk appliance, obviously going quite strong but actually largely in line with so a little bit faster than TRV. It sort of implies that Factiva and Newswires is sort of smaller in terms of its growth here. Any color or details implied here, please.
Robert Thomson: Darren we’re pleased overall with the professional information business. Newswire provides an important service not just for the professional side, but also for our consumer journalism. And we're fully invested in the, in the future of developing that Newswire’s business. And you'll see in coming quarters, as I said, with the Piers acquisition, just how much potential professional information business actually has.
Darren Leung: Can you comment whether subscribers are still increasing in Factiva?
Mike Florin: Well, I'm sorry Darren the detail I gave you is the detail that I will give you. Thank you.
Darren Leung: Okay, thank you.
Robert Thomson: I think Darren it’s fair to say that that Factiva newswires is relatively stable. Keith, we'll take our next question please.
Darren Leung: Okay.
Operator: Our next questions from Brian Han with Morningstar. Please go ahead.
Brian Han: Robert, I think, you mentioned that in News Media, digital advertising revenue was greater than print in the UK. First, can you please confirm that? And second, does that mean in Australia and U.S. print advertising revenue is still way bigger than digital advertising revenue?
Robert Thomson: No. The second supposition is not accurate. Look, advertising generally has been excellent, particularly in digital and you see it from Dow Jones to the New York Post, which is on track as we've indicated for genuine profitability. But across, in total, the business units, Dow Jones advertising up 20%; News UK, 32%; New York Post, 13%; and News Australia, 2%, obviously currency affected. So strong growth and indications are that growth remains relatively robust.
Mike Florin: Thank you, Brian. Keith, we'll take our next question, please.
Operator: At this time, we have no further questions in the queue.
Robert Thomson: Great. Well thank you all for participating. Thank you, Keith. Have a wonderful day and we look forward to speaking with you soon,
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. You may now disconnect.